Operator: Greetings and welcome to the Gibraltar Industries Second Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Carolyn Capaccio of LHA. Thank you, Carolyn. You may begin.
Carolyn Capaccio: Thank you very much. Good morning, everyone, and thank you for joining us today. With me on the call is Bill Bosway, Gibraltar Industries Chairman, President and Chief Executive Officer; and Tim Murphy, Gibraltar's Chief Financial Officer. The earnings press release that was issued this morning as well as a slide presentation that management will use during the call are both available in the Investors section of the company's website gibraltar1.com. Gibraltar's earnings press release and remarks contain non-GAAP financial measures. Tables of reconciliation of GAAP to adjusted financial measures can be found in the earnings press release that was issued today. Further, please note that adjusted results exclude the net sales and operating results of the Japan renewables business that was sold on December 1st, 2023. Also, as noted on Slide 2 of the presentation, the earnings press release and slide presentation contain forward-looking statements with respect to future financial results. These statements are not guarantees of future performance and the company's actual results may differ materially from the anticipated events, performance or results expressed or implied by these forward-looking statements. Gibraltar advises you to read the risk factors detailed in its SEC filings, which can also be accessed through the company's website. Now I'll turn over the call to Bill Bosway. Bill?
Bill Bosway: Thanks, Carolyn. Good morning, everyone, and thank you for joining today's call. I'll start with an overview of second quarter results and then Tim and I will take you through each of the segments and we'll give you a financial and operating update and a closer look at what's happening now in each. Then I'll walk you through our 2024 outlook and we'll open the call for questions. So let's turn to Slide 3, titled second quarter 2024 review. Our adjusted net sales were down 2%, driven mainly by market headwinds impacting growth in our residential and renewables businesses in the quarter. The residential market experienced a slower end market and an unexpected channel of destocking which started really late May and early June. We offset some of this impact through some participation gains and these gains actually are going to support us in our residential growth plan in the second half. Although adjusted net sales for renewables were up over 8% versus prior year, it was less than expected as some customers continue to have project delays related to ongoing trade and regulatory issues in the market. Backlog for the quarter was down 4% impacted mainly by the timing of project bookings in renewables and a challenging year-over-year comparison related to a large infrastructure project signed in early 2023 that was completed in the quarter. Infrastructure bookings improved during the quarter and backlog was up 3% sequentially and our design and quoting activity remains very strong as well. Our Agtech bookings surpassed $90 million in the quarter, driving backlog up 32% and this supports strong revenue growth in the second half. We increased adjusted net income 2.8% and adjusted EPS 2.6% while generating $36 million in operating cash flow. We continue to work toward achieving growth for the year in all four segments as well as drive additional 80/20 and productivity initiatives, continue to execute our digital transformation plan and strengthen the organization. Now let's dig into the segments. Tim?
Tim Murphy: Thanks, Bill, and good morning, everyone. Let's start with the residential on Slide 4. Residential segment sales decreased 6.1% from last year driven by a slowing market and channel destocking that began in the second half of the quarter. These factors were partially offset by participation gains with new and existing customers, growth in ventilation product lines and expansion initiatives in the Rocky Mountain region. Our recent acquisition in that region added about 1% to second quarter sales. Adjusted operating and EBITDA margin of 20.3% and 21.7% respectively expanded 100 and 120 basis points through solid execution, 80/20 initiatives and effective price cost management and our Rocky Mountain region acquisition is performing to plan. We continue to expect modest revenue growth with continued margin improvement in the second half of the year as the conversion of recent geographic and market participation gains ramp further contributing to top line and as continued 80/20 and operating efficiencies and the expected improved volumes drive profitability.
Bill Bosway: So let's turn to Slide 5 and I'm going to talk a little bit more about the residential market as well as our market expansion initiatives we discussed in our last call. Let's start with the end market. The market did slow more during the quarter, which is reflected in lower point-of-sale results down approximately 10% in both retail and distribution channels. Point-of-sale results can vary significantly by region, by market, customer and channel, but in general we saw a reduction versus Q1 for the overall market. As well the point-of-sale results correlated with the Q2 shingle shipment market data published by ARMA which reflected the market being down almost 10%. As well starting in late May and really throughout June, we experienced channel destocking in both retail and distribution channels with inventory reductions up to three weeks, which reduced channel inventory from about 12 weeks to 9 weeks depending on the region, the market area and the customer. We did see some restocking occur at the beginning of July, which I suspect was in response to a bit of an overcorrection during Q2. We're able to partially offset the full impact of the slow market through participation gains and customer conversions which resulted in our business being down less than market. These wins and others starting in the second half should also help us continue to outpace the overall market going forward. On the right side of the chart, our geographic expansion initiatives continue to move forward. And as a reminder, we are serving only 40% of the top 32 markets in the US. Increasing our participation in these markets is important to us and we have identified our next eight markets with at least three of those locations planned to be up and running in the next two to three quarters. There are plenty of additional markets beyond the 32 we are currently addressing as well. And as I've said previously, we will execute our plan through both organic investment and acquisitions. So with that let's move to renewables. Tim?
Tim Murphy: Let's turn to Slide 6. Adjusted net sales increased 8.2% from last year and 54% from last quarter, driven by strong demand from new and existing customers for the new 1P tracker product. Despite solid growth in the quarter, our revenue and bookings were lower than expected as some customers continue to experience trade and regulatory issues, disrupting the timing of signing of their contracts and/or locking in their schedules. As a result second quarter backlog was down 10%, while the pipeline of late stage and early stage projects remains positive. Adjusted operating and EBITDA margins decreased 270 basis points and 290 basis points respectively, driven by a mix shift to our new 1P tracker product and the related new product ramp learning curve. Our supply chain and engineering teams are making progress in satisfying this accelerated demand. We expect segment net sales to increase for the full year with sequential improvement in 3Q profitability as 1P tracker supply chain continues to mature and the field installation process becomes more efficient. Let's move to Slide 7 for a quick update on our 1P tracker. Since the fourth quarter of 2023, we booked over 300 megawatts across 58 projects with 15 different customers. We booked about 70 megawatts across 13 projects in this last quarter. We're pleased with the ongoing uptake of our 1P technology and are laser focused on executing a controlled launch of new projects we have signed. At the same time, new and existing customers are inviting us to pursue a pipeline of over 1.2 gigawatts in the US distributed generation solar market. The photos on this slide show two 1P TerraTrak projects we recently completed. The one on the top right of the page is the Wedge Farm and the one on the bottom is Allis Hill. Bill?
Operator: Bill, is your line on mute?
Bill Bosway: I'm sorry, can you hear me?
Operator: Yes, we can hear you now.
Bill Bosway: I apologize. So let's start again. Sorry, as referencing the industry continues to work through a variety of trade and regulatory challenges. And since our last earnings call, I wanted to highlight some of the changes and/or movement to four of them, which are highlighted on the dotted line boxes on the slide. Let's start with the first three items which are related to module supply. First, the presidential proclamation waiving tariffs while the Department of Commerce investigated the first AD/CVD complaint expired on June 6, 2024. So for modules imported without an exemption from the manufacturers that were under investigation during the proclamation period, customers have until December 2024 to install these modules in service or antidumping duties of 240% and countervailing duties of 15% can be applied to projects. Secondly, a second AD/CVD complaint was filed with the US International Trade Commission and the Department of Commerce on April 24, alleging illegal trade practices by Cambodia, Malaysia, Thailand and Vietnam and is asking both government agencies to apply new tariffs, both antidumping and countervailing duties to imported solar cells and modules imported from these countries. The ITC launched a preliminary investigation on April 24 and the DOC initiated an investigation on May 14. Given the complexity of the case, the DOC is expected to issue a preliminary determination for the countervailing duty complaint by September 23 and for the antidumping complaint by November 20. Final determinations for both aspects of the complaint are expected by April 4, 2025. And third, on June 26, the Section 201 bifacial exemption was removed for bifacial solar panels. These are panels which have solar cells on both sides and considerably improve energy production efficiency. Industry has been given a 90-day grace period before the tariff takes effect and to avoid a tariff customers must be able to verify these contract -- their contracts were signed on or before May 17, 2024 and these panels must be delivered by September 24, 2024. Lastly with respect to the 10% domestic content bonus in May in an effort to avoid forcing commercial taxpayers to disclose their direct cost, the IRS created a New Elective Safe Harbor. This allows manufacturers determine a project's domestic content percentage based on additive fixed percentages for specifically identified US manufactured components or subcomponents. This avoids developers and sponsors of energy projects having to track down all manufacturers' cost and helps manufacturers avoid having to share confidential cost information for their business. This is a positive development for the industry and we anticipate final guidelines from treasury to be issued before the end of the year. So let's move on to Agtech. Tim?
Tim Murphy: Moving to Slide 9. Agtech's adjusted net sales increased 0.6%, but were lower than we expected as new projects started later than planned in the quarter. In June sales were up over 30% from May sales. So it's just a later in the quarter ramp. Second quarter backlog increased 32% over last year and 95% from last quarter as new bookings materialized as planned. We remain very active with additional projects and expect positive booking momentum to continue into the second half. Segment adjusted operating income declined roughly $1 million impacted by lower volumes in April and May and business and product line mix. This was partially offset by strong execution particularly on produce projects and we expect to deliver improved margin performance on stronger growth in the second half of the year. Bill?
Bill Bosway: So on Slide 10, let's move to Slide 10. We are pleased that our Agtech business is beginning to accelerate and grow as we expand our customer base and really help the industry add capacity to bring locally grown high quality fresh fruits and vegetables to end customers provided by both food retailers and food service operators. Our business momentum is robust with revenue and bookings accelerating month to month during Q2. We secured over $90 million in new orders during the quarter, which is a record for the business. Most of these projects started in June and/or launching now, which supports our second half outlook. As well we have a number of additional projects currently in the design phase expected to support continued strength in bookings. We look for our Agtech business to deliver both revenue margin growth in 2024 given our demand momentum and broadened customer base and our healthy pipeline of new projects under design. Let's now move on to our Infrastructure business.
Tim Murphy: Let's move to Slide 11. The Infrastructure segment sales increased 2.5%, reflecting timing of projects, continued strong execution and market participation gains. Backlog decreased 12% as a very large project book last year reached its final stages. Bookings increased 3% sequentially reflecting strong customer activity. Design work and quoting activity remains strong. Segment adjusted operating and EBITDA margins improved 170 basis points respectively driven by price cost alignment, solid execution, 80/20 productivity and improving product mix. We continue to expect sales growth and margin expansion in 2024. Let's move to slide 12 to discuss our balance sheet and cash flow. At June 30th, we had cash on hand of $179 million and $395 million available on our revolver. During the quarter, we generated $36 million in cash from operations through a strong contribution from operating income and a more modest than average seasonal investment of $7 million in working capital. Our free cash flow generation for the quarter was 9.1% of sales and our objective for free cash flow approximately 10% for the year is unchanged. There were no share repurchases in the quarter and we remain debt free. We expect to continue to generate strong cash flow and our capital allocation priorities for 2024 are to continue to invest in our organic growth and operating systems for scale. We expect capital expenditures between 1% and 2% of sales. Our pipeline of high quality M&A opportunities is active. We have many discussions in process and our strong balance sheet provides flexibility. We think there's a higher probability in the near term in the residential segment and the medium and long-term in other segments. And finally we'll opportunistically return value to shareholders through the remaining $89 million authorized under our share repurchase program funded by cash generated from operations and the use of our revolver depending on the timing of any M&A or repurchases. Now I'll turn the call back to Bill.
Bill Bosway: Thanks, Tim. Let's turn to Slide 13. We'll talk a little bit about our priorities for 2024, which really remain unchanged. The three pillars are foundational for what we do and our playbook is consistent. In regards of recent market movements, we remain very focused on those five initiatives. So just as a reminder, number one, continue to look to drive growth, quality of earnings, cash performance and focus on M&A. Secondly, executing our 80/20 initiatives, expanding our participation and expanding margin. Three, continue to digitally transform to scale and optimize our operating systems. Fourth, strengthen the organization and fifth, as important as anything conducting business in the right way every day. Let's turn to Slide 14 and we'll talk about 2024 guidance. We are making a slight adjustment to revenue and profitability measures while maintaining our outlook for EPS and delivering full year sales growth and significant profitability improvement. We look for participation gains and operational improvements to support solid second half and full year margin expansion and cash flow generation. Consolidated net sales are now expected to range between $1.38 billion and $1.42 billion compared to $1.36 billion on an adjusted basis in 2023, representing 2% to 4% growth. GAAP operating margin is expected to range between 11.8% and 12.1%, up between 90 and 120 basis points and adjusted operating margin is expected to range between 13.3% and 13.6% up between 60 and 90 basis points. Adjusted EBITDA margin is expected to range between 15.9% and 16.2%, up between 50 and 80 basis points. EPS expectations are unchanged with GAAP between $4.04 and $4.29 compared to $3.59 in 2023, up between 12% and 20% and adjusted between $4.57 and $4.82 compared to $4.09 in 2023, up between 12% and 18%. And we continue to expect 2024 free cash flow of approximately 10% of sales. So to summarize, our execution performance has been solid, and we feel good about our second half plan and full year outlook. I also want to thank our team for their agility and responsiveness in each of the markets that we serve and they're focused on delivering performance for our shareholders. And as I said earlier, most importantly, doing it the right way. So now let's open the call up and we'll take your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Dan Moore with CJS Securities. Please proceed with your question.
Daniel Moore: Thank you. Good morning, Bill. Good morning, Tim. Let me start with residential. It sounds like July you started to see a little bit of restock, but has the destocking you saw in May and June, do you think that's run its course and what are your expectations for market growth, not necessarily Gibraltar growth, but market growth embedded in your for the remainder of the year embedded in the revised full year guidance?
Bill Bosway: Yes. So Dan, I think, we believe we're going to grow this year in residential for the year. It's difficult to predict exactly where the stocking, destocking is landing, but we feel like it has settled in and that's what we've assumed going forward in the second half. Q1 off to decent start, Q2 was a bit of a correction. If you look at, as I mentioned earlier, the point-of-sale and the ARMA data. But you really need that let that flow out over some period of time because it really comes down to state by state and how well you're positioned in each state to see the true impact of what that's going to mean for the market. And how you're related and how you're positioned in each of those states and therefore the market. So, yes, we've gone through that in I think great depth by state and we've built an outlook for the year that we think is still positive year-over-year. And with our participation gains that we referenced and the ones that are in flight now, we feel pretty good about how the plan is rolling up for the second half.
Daniel Moore: Helpful. And then shifting gears, renewables, certainly appreciate the update as you give every quarter on kind of the market conditions. Obviously, a ton of crosscurrents. So what's the punch line? Do we still expect 2025 to be the year when revenue starts to ramp meaningfully or is that more uncertain now in your view?
Bill Bosway: Yes, well, I think the slide that we showed will get less complex over time as some of these things come off the table. And so we've listed five things around module supply as an example. Well, when you look at that slide and you say, well, UFLPA is number one on that slide. That's going to come off as the industry has gotten used to dealing with that, right. So it's really I think what you're going to find going forward is more around permitting and interconnectivity and transmission, which is still out there that people are dealing with. But as these AD/CVD investigations kind of work through the system, what it's doing right now is just causing some people to pause and it's choppiness as we have seen. I think that's going to work itself out as we get through this last investigation and some of these things start coming off the table. The positive development on the IRA piece, if you look at the bottom of that chart, two of those three things are in place and up and running. And this domestic content bonus is getting close now that we have this new Elective Safe Harbor that was put in place by the IRS that's a big deal. So if we can get that across the finish line that comes off the chart, those three things are easy to track and use as an industry. So I think you'll see a narrowing of some of these items, the hope is over time. It doesn't mean there won't be some things in 2025, particularly around permitting and as I said, interconnectivity and transmission. But we feel like it's moving in the right direction. But in the interim, it's still causing probably 20% of our customers to have a little bit of a challenge with specific projects. So hopefully we'll see that start to be minimized second half a bit as we roll into next year. That's how I characterize it today.
Daniel Moore: Got it. And then lastly for me, I'll jump back in queue. Just talk about margins. So still it continues to be obviously kind of a tale of two cities, resi performing extremely well in a tough environment, and renewables and Agtech still well below your longer term goals. So what are the keys to generating consistent double-digit margins in those two segments? And it appears that that's what's likely embedded in your ability to maintain the EPS guide. So just talk about how do we get there and your confidence in that margin uplift in the back half of the year? Thanks.
Bill Bosway: Yes, second half for Agtech is obviously driven around the bookings that we generate during the quarter, which have now started to materialize in the sales and profitability. So you pick up that volume and the quality of those projects, we feel they're going to contribute nice in the second half to both top and bottom line. And sequentially, we believe renewables will obviously continue to improve. Ramping up the 1P tracker in a short period of time is what we're working through now and just getting suppliers from kind of temporary tool to a permanent tool world and then getting these components into the field and getting our teams ramped up in a controlled launch. So it just it takes a little bit time to do that and that's part of we're getting better and better at that in the second half. So sequentially, I think, you'll see renewables deliver, improve margin and you'll see Agtech do the same. And Agtech is really driven by the volume that is now in the business in a much bigger way than it was before.
Daniel Moore: All right. I'll jump back with any follow ups. Thank you.
Operator: Thank you. Our next question is from Julio Romero with Sidoti and Company. Please proceed with your question.
Alex Hantman: Yes. Hi. Good morning. This is Alex on for Julio. My first question.
Bill Bosway: Hey, Alex.
Alex Hantman: Hey, good morning. Yes, so very nice to see Agtech new bookings up significantly this quarter. I saw in the release you noted strong support for revenue growth in the second half. Could you just walk us through the confidence you have around the timing of the Agtech sales kind of ramping up in the near term in a meaningful way?
Bill Bosway: Yes. So Alex when you sign these projects, they tend not to be signed in the Agtech world until you have most if not all your ducks in a row particularly around permitting because your things like gas, water, etcetera for the town or city that you're in is a big deal because these are massive structures. So usually when you sign, it's close to go time on getting started. So the projects that we have signed, they're already active. They started becoming active in June. So you saw that impact with the business being up 30% over April, May and that momentum will continue based on the actual projects that are in flight now. We'll continue to add more projects and that will help us build a backlog not just for some portion of revenue that will come into this year, but it will start building up for next year as well. So that consistency that we're looking for that cadence around the projects that we're bringing on path. And if you look at, you take $90 million that were signed in the quarter and you were to annualize that, you'd say, well that would roll out to $360 million, $370 million around there. I'm not suggesting that we'll have $90 million every quarter, but as you get that cadence being built they stack on each other and they bring that revenue and profitability comes with it in a much more predictable way. But they tend to start pretty soon after you're signed. So we're active on a number of the projects that are in the $90 million and that's why our confidence level starting in Q3 is pretty strong for the second half.
Alex Hantman: Got you. Great color on the cadence. Thank you. And then one follow-up from us. You're still very strong free cash flow in the quarter and the cash on the balance sheet continues to build. So could you speak to plans to deploy some of that?
Bill Bosway: Yes. So right now we are in a number of active discussions on an M&A front. Tim referenced that a bit. I think you'll see there's probably more of that near term focused in residential that we're involved in. It's not exclusive to residential, but our intent is to deploy an M&A. We don't spend a lot, 1% to 2% to run the business. So it doesn't absorb a lot. We have a bit of a buyback. We still have $89 million of buyback approved in our plan, which we may move on as well. So but really our focus is moving forward with M&A. And it's just a matter of timing on that front. It is more active in the market today than it was a year ago, not by our choice per se, but just in general. And so that's what has driven some of the activity that we're currently in the middle of. So I would expect to see us deploy more of that going forward. And the timing of that will depend on each individual case, right. It's a process between a buyer and a seller and we'll see how that plays out. But we're excited about what the opportunities are that exist and the ones that come up, we're in a great position to act pretty quickly.
Alex Hantman: Great. Thank you. Appreciate the color there. That's all from us.
Bill Bosway: Thank you.
Operator: Thank you. Our next question is from Walt Liptak with Seaport Research. Please proceed with your question.
Walter Liptak: Hey, good morning, guys. Thanks for the answers so far. That's helpful. I wonder if we could just try and quantify a couple of things like in Agtech. Can you help us understand how much revenue is going to ramp in the second half of the year? Like how much of that $90 million ships in the second half of the year versus 2025? And what could the revenue look like for the full year?
Bill Bosway: Yes. So, Walter, the way I think about it is you saw what June look like relative to May. And so you're going to have a pretty big upshot relative to what we've seen in the first half is the way I characterize it for the business. So with the projects in hand, the projects active, you can do the math that way. If you're thinking about modeling what the second half would look like, it's we saw June up 30%. And I think that's directionally the way I would think about the second half for this business based on the backlog that we now have.
Walter Liptak: Okay, great. And then, appreciate the prior question comment about profitability in Agtech. But with these projects, sometimes there's percentage of completion that you don't book profits until the thing is almost done. Can you talk about what the second half could look like on the flow through for profits?
Bill Bosway: Yes. I think we'll have a nice improvement there as well. We -- because it's percentage of complete as we're recognizing sales, we're recognizing profitability hand-in-hand as we go. So there's not a lot of this that is recognized at the end of the project, both top and bottom line. They kind of go hand-in-hand as you go through the project. So again, as that volume starts to materialize in the second half, you should see an impact on both top and bottom line accordingly.
Walter Liptak: Okay, great. And then switching over to renewables, can you quantify for us the amount of orders that got pushed out due to the regulatory environment? Like were the orders down year-over-year, how much were they down? Can we get some idea of the magnitude here?
Bill Bosway: Are you talking about the orders that were pushed?
Walter Liptak: Yes, exactly.
Bill Bosway: Yes, I would say about 20% of our business continues to be impacted and think about that as we have we serve over 200 different customers. So you've got a chunk of your customer base that's dealing with a variety of projects that are moving around. And that's been pretty consistent over the last year or two. But I would say that it's impacted about 20% of our orders and that's part of the reason our bookings and therefore orders and that's part of the reason that we said, look, we were up 8.2%, we were up 54% sequentially, but we weren't up as much as we thought we -- as we wanted to be or expected to be just because of some of that movement got pushed. So I mean I guess you could back into it, if you have kind of thought about it that way. We should have been up more if we wouldn't have had that kind of movement. But each quarter to build different group of customers and a number of projects, but I would say 20% of the business has been impacted shifting around if that gives you an idea.
Walter Liptak: Okay. And just so I understand the slide that you had up on renewables with the regulatory. I think what I heard you saying is that this pause will remain in place probably until September of this year. Is that right or is it a little longer than that?
Bill Bosway: Well, there's a lot of moving parts. The point of that is on the module supply, it's just causing pauses right now depending on an individual's project situation. So you can have a number of different examples here. But as an example, if you had panels in your inventory, if you had panels that you had availability to and they were not brought in on an exemption from during the first AD/CVD investigation. And then you have until December to get those things installed or they could be subjected to both AD and CVD penalties. So on one hand, you've got a lot of folks who are trying to stay laser focused on existing projects to get these panels up onto their foundations and racking systems that either had been installed or maybe haven't been installed, but you have a deadline. Otherwise you're going to be subject to some very large penalties potentially. So you've got customers laser focused on that right now. They're saying, look, I need to get this done. And so what they're fighting through are things like, well, I've got to get make sure I get all my permitting right. So I can actually get my panels on, so I don't have these penalties. And so it is a bit of a multivariate equation for each project for customer depending on where their situation is going forward. And that's that 20% of business that I think we have customers dealing with. 80% of the business folks who have kind of navigating through this. So but for us because our timelines are so short between when you sign a contract and you execute, something like this with immediate grace periods of 90-days or 120-days really changes focus on projects that are in flight right now for customers versus what are they going to do next. So it's a little bit cause a little anxiety right now for the industry, but it will work itself through once this I think this last or the second investigation finishes up and the IRA stuff clears off the table, that gives people a little more clarity what's going on. But yes, we are seeing, I think the second half is still going to be a challenge in that. But we're going to grow sequentially in both top and bottom line. And as we get through the next quarter, we'll see how this evolves as it relates to planning for 2025.
Walter Liptak: Okay, great. And the sequential improvement that you're thinking about for next quarter, that's usually the third quarter is the seasonally stronger period, right? That's why.
Bill Bosway: Yes, third and fourth.
Walter Liptak: Shipments. But maybe not for orders.
Bill Bosway: Correct. Third and fourth quarter are traditionally are the strongest quarters for renewables. We've got bookings now that are pretty solid relative to covering 2024 in terms of revenue. Again, because we have a relatively short timeline. So we still have the ability to take an order in the third quarter and execute that yet in the fourth quarter. So we've got good coverage for sales in the second half. We've got a little bit more work to do there, but inherently Q3 and Q4 are the biggest quarters for the business and that's why sequentially you'll see a better second half and a better Q3 than Q2.
Walter Liptak: Okay. But in terms of orders, it sounds like third quarter, fourth quarter might still be weaker?
Bill Bosway: Maybe not. Let's see. Again, it's -- it comes down to these individual projects and folks getting across the finish line. So if you've got this 20% where people are having some success with what they're going to do and getting on with it, then yes, the focus can turn pretty quickly towards getting some of these other projects pulled up and cross the finish line and contracted. So we have a lot of these projects in our late stage, which we have a seven stage process, but we've got them in late stage. But that's they're sitting there now until they're some of our customers are sitting in there until they work through the next 90-days on some of these things that they're dealing with.
Walter Liptak: Okay, great. Okay, thanks so much.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Mr. Bill Bosway for any closing comments.
Bill Bosway: So again I want to thank everyone for joining us today. We are planning on to present at the Seaport Annual Summer Investor Conference as well as Sidoti September Conference and we've got a number of other investor events. So I want to thank you again for your ongoing support of us and Gibraltar and look forward to speaking to you again after our Q3 report. Have a good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.